Operator: Hello, everyone, and welcome to the Bladex conference call. This call is being recorded. For opening remarks and introductions, I will turn the call over to Melanie Carpenter of i-advize. Please go ahead.
Melanie Carpenter: Thank you, Jennifer. Hello, everyone. Welcome to the Bladex's First Quarter 2013 Conference Call, on this the 18th of April, 2013. This call is for investors and analysts only. If you are a member of the media, you're invited to listen only. Ladies and gentlemen, I want to point out that Bladex has prepared a PowerPoint presentation to accompany their discussion. You can access this through the usual audio webcast, but now you'll have a PowerPoint in addition. So please go to bladex.com and you'll see a link to the webcast under Conference Call, click Listen and just go in, register yourself and the PowerPoint will pop up. Joining us today are Mr. Rubens Amaral, Chief Executive Officer of Bladex; and Mr. Christopher Schech, Chief Financial Officer. Their comments will be based on the earnings release which was issued yesterday. A copy of the long version is available on the website, bladex.com. Any comments that the gentlemen make today may include forward-looking statements. These are defined by the Private Securities Litigation Reform Act of 1995. They're based on information and data that is currently available. However, the actual performance may differ due to various factors and these are cited in the Safe Harbor statement in the press release. And with that, I'm pleased to turn the call over to Mr. Rubens Amaral for his presentation. Please go ahead, Rubens.
Rubens V. Amaral: Thank you, Melanie. Good morning to everyone, and thanks for taking the time to attend our call today. I will provide you with an overview of our results and a quick comment on the macroeconomic outlook for Latin America and then, turn it over to Christopher to provide you with more color about the results and the prospects for the rest of the year. Let's just start with Page 2 of our presentation. In my concluding remarks on our previous call, I mentioned that we at Bladex are confident of benefiting from a positive outlook for Latin America in 2013. We remain positive about the prospects for the year despite the fact that the first quarter results came in slightly lower than I would have liked, but the forecast for GDP growth in the region remains strong, and we continue to build scale by achieving record disbursement levels in the last 2 quarters, having disbursed a combined total of $7 billion, being $3.5 billion in each quarter. And just as importantly, we have succeeded in maintaining a stable net interest margin despite the ample liquidity in the markets and increased competition from local banks, international banks and the capital markets. Our credit quality remains strong with no nonperforming loans and a sound capitalization of 16.6% Tier 1 with a leverage ratio of 8.2x. We're also making important progress with our new syndications platform with several deals in the pipeline, of which, we have already won mandates in 4 transactions, totaling an amount over $400 million involving corporate clients in 3 different countries. Last but not least, we're focusing the organization on increased efficiency, which aims to improve the quality of our revenues by implementing an active credit portfolio management model, and we're equally focused on improving the quality of our costs as well by streamlining processes, reducing expenses and improving productivity. Moving to Page 3. I would like to highlight that according to the last World Economic Outlook from the IMF, the forecast for GDP growth in Latin America remains strong at a 3.4 level, which is superior to the expected growth for the world output at 3.3%, and even more favorable when compared to the developed economies expected to grow 1.2%. According to this report, the growth in Latin America is supported, basically, by an increase in external demand, favorable financing conditions and the impact of earlier policy easing in some countries, as we have alluded to in our last call. Within this favorable scenario, we expect to grow our portfolio in 2013 by around 10% to 13%. You know that normally we use, as a proxy, the growth of trade 3x to 4x the underlying growth of GDP in the region. When we look at the main trade trends in 5 of the most important countries in the region: Chile, Colombia, Mexico, Peru and Brazil, we observe, though, a reduction in exports in the first quarter 2013, but a growth in imports. It's very important for the region as a whole, the growth in exports, and we expect that this will be the case in the quarters to come. But again, Bladex is poised to benefit from this movement as we increase our portfolio of import financing as well. Overall, we are pleased with the growth of our core business and the traction we're gaining in syndicated transactions, which will continue to add to our fee revenue streams. I would like also to add that our letters of credit business is growing, which will further increase our fee income. As you know already, we have concluded the transaction of divesting the Asset Management company. We expect that the new company, under its new shareholders, to increase the assets under management from third parties, which will allow Bladex to participate in the fees associated with it and reduce our investment in the fund. Christopher will make further comments about the reduction of our investment in the fund. We have also, on the other hand, announced a dividend of $0.30 per share for the first quarter of the year, which still represents a very attractive dividend yield in the range of 5% per annum. Finally, we remain optimistic about the results for the year. As we have a strong balance sheet, consolidation of the core results, adequate liquidity, renewed focus on efficiency and last but not least, a strong capitalization, which in our view, are the building blocks for a successful 2013. These are my quick introductory remarks, I'm very pleased to be talking to you again. I will now turn it over to Christopher to walk you through the rest of the presentation. Christopher, please.
Christopher Schech: Thank you, Rubens. Hello, and good morning, everyone. Thank you for joining us on the call today. In discussing our first quarter results, I will focus on the main aspects that have impacted our results, and I will make reference to the presentation that we have uploaded to our website and which is being webcast as we are speaking. So let's start with a recap of the key financial highlights and drivers for the quarter on Page 4, which closed with net income to Bladex's shareholders of $16.3 million compared to $24.6 million in the previous quarter and $32.2 million in the first quarter of 2012. The Bank's net interest income grew quarter-on-quarter by $2 million or 7% to $26 million, mainly as a result of lower interest expense. But it still remains below the level seen in the first quarter of 2012, where it stood at nearly $30 million. This is because of: one, higher average funding costs that have resulted from our strategy of expanding the average tenor structure of our liabilities; and secondly, lower interest income direct from our bond portfolio after we brought down security portfolio balances in 2012. Noninterest income amounted to $4 million this quarter compared to $6.9 million in the fourth quarter 2012 and $11.3 million in the first quarter of 2012. We will get later into the other income components in more detail. But I just wanted to highlight at this point, just one major driver of the year-on-year variance, that is, the flipside result of what I had just mentioned in regards to the reduction of securities portfolio balances, as the sale of these bonds brought a significant gains on sale, which we mainly realized in the first and second quarters of 2012. These gains on sale have largely been absent in our P&L during fourth quarter 2012 and first quarter 2013. Also reflected in other income are the results from our investment in the investment fund, which were lower this quarter compared to the previous quarter and the one from a year ago. The provision for credit loss line for both on-book and off-book contingent exposures is really the main driver of variation with bottom line impact compared to the comparison quarters, and that is basically a function of the absence of net reserve releases that have characterized these previous quarters. Last quarter, we recorded a substantial one-off event in the net release of specific reserves after last and only nonperforming loan exposure exited our books. And in both these previous quarters, generic reserve requirements from loan growth were outweighed by the improving risk profile of our exposures, resulting in net releases of generic reserves. In the first quarter of 2013, on the other hand, this trend of improving risk profile continued but loan growth was even stronger, resulting in a modest net requirement of generic reserves. Moving down, the expense line is showing a break in the trend over the previous quarters as we recorded a quarter-on-quarter reduction of nearly 20%, as our focus on cost takeout is starting to show some traction. So this briefly summarizes our performance from continuing operations. The numbers regarding the discontinued operations, which relate to the former Bladex's Asset Management Unit aren't of much relevance. What is of course relevant, however, is that we have announced the successful conclusion of our sale of this unit effective April 1, and that it no longer represents a part of Bladex going forward. We continue as an anchor investor in the investment funds themselves, together with a large and reputable co-anchor investor, but we do so within an investment that is about 30% lower than it was last quarter; and which is poised to become even smaller as third-party investors come in to the funds. So let's look into the quarter's results in a bit more detail. Moving to the next slide, Page 5, which shows in the red columns, the evolution of core operating income, which excludes credit provisions. It also excludes nonrecurring or one-off items and noncore items such as the fund results. And you can see that the trend is quite positive in what is the core essence of our business. And we continue to strive to make this essence the predominant driver of total net income, which is shown in the blue columns. We move on to Page 6, which shows what is one of the key metrics of that core essence of Bladex, and that is our quarterly disbursements, which provide a gauge of our origination capacity, market demand and our appetite for growth. The trend here is positive as well, as we experienced very elevated levels of origination activity with over $3.5 billion in credit disbursements, as Rubens already mentioned in his introductory remarks. And that happened in a quarter that is historically one of the more subdued -- that have seen historically more subdued activity in Latin America. Also, these disbursements show a tendency of moving into longer tenor transactions, which are mostly trade-related, while pure trade transactions, which are mainly in shorter tenors remain the backbone of our book of business. Moving on to Page 7. We see the net portfolio effect of this origination activity that we just discussed in the previous page, as portfolio balances grew 5% quarter-on-quarter and 14% year-over-year, growth was focused primarily in our Corporate segment of larger companies which, together with the middle market companies, make up 68% of the total Commercial book of business. This book of business is also increasingly diversified in terms of country exposures, with Brazil, Peru and Mexico in the double digits; as well as across many industry segments, as detailed in the second pie chart. Now let's move on to Page 8, which shows the evolution of net interest income and net interest margins over the course of the last 9 quarters. While transaction volumes and portfolio volumes have risen significantly, the same cannot be said for lending margins, which have widened as a result of improving counterparty risk perception and ample liquidity in Latin American markets, also something that Rubens mentioned earlier. And that had the net result that interest revenues have not increased significantly despite asset growth. On the liability side, Bladex's interest expense levels have been more elevated since the second quarter of last year, as we have expanded borrowing tenors, as I already mentioned. The first quarter 2013, however, showed that interest expense has turned the corner, going downward again as the Treasury division managed its duration gaps more efficiently, lowering average funding costs and helping drive net interest income growth. We believe that this trend will continue over the next quarters. That, together with continued emphasis on extending lending tenors to obtain higher margins as we saw in the page on disbursements, is expected to have the effect that net interest income growth will start to outpace portfolio balances growth and will start to drive NIM expansions. Let's move on to Page 9, where we turn our discussion to commission and fee income. Most of our commission income is still earned in our letters of credit business, and we have looked to diversify the contingency portfolio away from the traditionally served markets, which in recent quarters, had not shown the -- your custom levels of activity. However, demand in the first quarter 2013 has been picking up, and we expect to see further growth over the next several quarters. On several prior occasions, we have mentioned our activities on the intermediation fee income side to further diversify our fee revenue streams through a leader range of role. And we are very encouraged to see a flow of closed transactions in each quarter over the last 3 quarters. The deal sizes tend to vary, though, within our sweet spot range of between $15 million and $150 million. So the first quarter 2013 came in below the previous quarter in terms of fee dollar revenues. But every transaction is a milestone in our track record, fueling the list of awarded mandates, and so we see Bladex gradually creeping up the lead tables. The other income Page 10, highlights the key point that Bladex does not take FX positions without properly hedging its exposures to limit any bottom line impact. This hedging of the economic risk may be recorded in our books following the rules of hedge accounting in some cases, which is reflected in net entries in one single line in our other income or it may be done in other cases by valuing the underlying exposure and its associated hedging instrument separately. In which case, the valuation effect are shown in 2 separate, mutually offsetting lines within other income. Either way it is done, the net bottom line impact is going to be marginal for us. Other income of some relevance stems from our investment in the investment funds. For the first quarter 2013, these gains were only moderate at $1.3 million compared to prior quarter gains of $3.1 million and the first quarter 2012 gains of $2.8 million. Other sources of other income such as one-off gains on sale of securities, which played the more significant role in the first quarter of 2012, as I already mentioned, were largely absent in the 2 most recent quarters. And so if we can move on to Page 11, we'd like to illustrate the evolution of our loss reserves on this page, which show a declining trend as the risk profile of both country and client risk has been improving. As a consequence, nonperforming loans are 0 in number and in terms of value this quarter. We continue to carefully monitor the payment behavior of our clients, and see no red flags at this point in time. Moving on to Page 12. We show that first steps have been made towards improving our efficiency ratio. We already talked about revenue growth and diversification efforts. Here, we're talking about cost reduction. We have embarked on a company-wide initiative to eliminate unnecessary expense and to improve the efficiency of our internal processes from vendor management to system support to process improvements. We are far away from being done at this stage, of course, but we believe we are on the right track with a measurable expense reduction in the first quarter of 2013 compared to the previous quarter. On Page 13, we reiterate the conservative management of our balance sheet with lower leverage and comfortable capitalization. But we also would like to underline our intention to gradually improve efficiency in the use of these valuable resources. And with the graphs on the subject of total shareholder return on Page 14, we simply would like to put forward the notion that ownership in Bladex continues to have the potential rewards for shareholder, investors as the key elements of book value expansion and comparatively modest valuation multiples remain in place. And finally, Page 15 sums up our conclusions. The market environment is presenting challenges in regards to margin pressure and ample liquidity. We talked about that earlier. But Bladex is finding ways to grow and to diversify, and it is doing so with emphasis on good credit quality. We are managing our asset and liability position to achieve NIM expansion and are maintaining our focus on cost reduction. And with that simple conclusion, I would like to hand it back to Rubens for the Q&A section. Thank you very much.
Rubens V. Amaral: Thank you, Christopher. Thank you everyone. So we're now open to your questions, and we hope to provide you with the answers you're looking for today.
Operator: [Operator Instructions] Our first question comes from Saul Martinez with JPMorgan.
Saul Martinez - JP Morgan Chase & Co, Research Division: I guess I'm having -- I just want to kind of get a better understanding for how you guys are viewing what your core earnings capacity is right now. Because correct me if I'm wrong, and I guess I'll start the question, your dividend policy equates to roughly about 50% of what you consider to be core operating profit. Is that a fair question -- is that a fair assessment?
Rubens V. Amaral: It's a fair assessment, Saul.
Saul Martinez - JP Morgan Chase & Co, Research Division: Okay. So if I look at $0.30 per share the last 3 quarters, that equates to about $11.5 million, which would equate to an earnings number of about $23 million. How do I bridge the gap between the earnings you reported this quarter and that $23 million? Even last quarter where you had reversals, you had a lot of one-offs that helped. I'm just having a hard time understanding how you get to the -- how the dividend equates to a core earnings number that's in the low $20 million per quarter and the numbers you've been reporting over the last couple of quarters. So just if you can help me understand and bridge that gap, that would be helpful.
Rubens V. Amaral: Okay. Thank you for your question. I will make a few comments and then, Christopher can add if he wants. Basically, what we do, we don't base our dividend discussion on quarterly results. What we look at is our target for the year and then, we adjust the dividend accordingly. So what we have seen and you know that to the first quarter is always a slower quarter in Latin America. That has been the case. Last year, we had a lot of one-offs that changed that picture. But this year has been just a normal first quarter as we have seen and the other is. Although honestly, we are very pleased because we have been able to keep up with disbursements, maintaining the same levels we had in the fourth quarter of 2012. So as we look for 2013 and we look to our targets, where you see that we are on track to achieve, basically, what you have said in terms of your assumption of 50% of the core earnings as a dividend policy. So we feel very comfortable that although this was a challenging quarter for us, the basis for the growth in the region and the growth in our portfolio are there. So there's nothing that discourages us in terms of the future results of the Bank in 2013.
Saul Martinez - JP Morgan Chase & Co, Research Division: Okay. Let me just a -- if I look -- and so just to drill down a little bit, again, it's about 11 -- $0.30 a share, that's about $1.20 for the full year. $1.2 for the full year on -- that equates to about $46 million for the full year, for 2013, which would assume an earnings number of $90-something million. You did 60 -- I think, $92 million. You did $16 million in 1Q. That would imply that the rest of the year, the quarterly run rate of earnings has to accelerate dramatically. Something like rough ballpark figures $25 million a quarter, on average, in 2Q to 4Q. I'm just struggling with how you get there. Is there anything in terms of one-offs, or is there any reversal? Are you factoring in reversals of provisions -- very large acceleration in NII? It just seems that to sustain that number, if you really are thinking that, that will be 50% of earnings for the full year suggests that the earnings in the next few quarters have to be substantially better than what you've been generating.
Rubens V. Amaral: Yes, that's exactly right. And that's what we're looking at. As we have mentioned before, and I think Christopher gave you a very interesting piece of information when he said that we're changing the mix of our portfolio towards more medium-term type of transactions that would help us to absorb the additional cost of funds we had last year when we stacked up funding -- medium-term funding, which had an impact on our overall earnings generation capacity in 2012. But we have seen a drastic change in that sense and we're seeing more growth in the medium-term portfolio as you saw in the numbers of the first quarter. One of the markets that's crucial for us is Brazil. And last year, Brazil was basically out of the market because of regulations. And also the level of investment that's in that country were not at the level that would warrant more financial, medium-term financing. But we have seen a big change. Regulations are now back where they were before the first quarter of last year in Brazil. Government is investing in infrastructure, has laid out a very interesting program of investments in infrastructure. We see companies that we're talking to more willing to investing in capital expenditure. So we see a possibility of picking up important demand on the second quarter that, in our view, will be a key quarter in terms of setting out the basis for achieving this growth that we need to do in terms of the results of the Bank for the remainder quarters of the year. So we remain positive because we see this change in mix. Christopher, also and I alluded to about the efficiency gains that we're looking at. We just started this program and expect that, also, to be a contributor at the end of the day, for the bottom line of the Bank. So it's a combination of more accelerated disbursements and change into the mix of the portfolio, combined with more efficiency that will bring us to the level we're expecting to achieve by year-end.
Christopher Schech: And if I may add to that very briefly. Rubens mostly talked about the lending side and our intention to move that mix towards longer tenors, but you should also look at the funding side, where we have already made great strides in reducing our average funding cost already and that is certainly a trend that we expect to continue. So the NIM expansion is supported not only on the lending side, but also and very significantly on the funding side as well. Because if you look at 2012 results, the interest expense scenario was sort of unusual for our Bank, as we really had more medium-term funding available than what was needed at the time and that is rapidly changing this year.
Saul Martinez - JP Morgan Chase & Co, Research Division: Do you see reversals of provisions this year?
Rubens V. Amaral: We see our portfolio growing, I told you, between 10% and 13%. But as you have seen also, the quality of the portfolio remains strong. We don't anticipate major reversals of provisions. But we are currently also reviewing our reserves methodology, to adjust the methodology to the characteristics of our portfolio. So you might see the growth being absorbed by the existing provisions that we have in our portfolio. But we don't anticipate major reversals.
Saul Martinez - JP Morgan Chase & Co, Research Division: Okay. And sorry to hog the floor, but just one final thing. How quickly can you feed capacity -- how quickly can your fee income generation grow from here?
Rubens V. Amaral: I think, as I mentioned initially, we have our 4 mandates already awarded, 1 executed. We have a strong pipeline in terms of the syndication of business. Syndicated trade finance facilities have increased quite a bit in the first quarter of this year, and we expect that to be the case. We have a group of people working very hard in this pipeline. So you see a good growth in terms of the fee intermediation business in the second quarter. And also, as I mentioned, we're seeing letters of credit picking up as we see countries where we have an important presence demanding more and more letters of credit. So we expect the second quarter to be an important quarter in terms of generation of fees.
Operator: Our next question comes from Jeremy Hellman with Divine Capital Markets.
Jeremy Hellman - Divine Capital Markets LLC, Research Division: I just wanted to follow up on Saul's last question on the syndication activity. Going back to last quarter, I got the sense that you guys had a pretty skinny staff in terms of headcount, just waiting for the business to start really picking up before you added to the group. So I wanted to see if you've added any more heads there that are helping accelerate that in kind of the competitive environment. How you guys feel like you're winning mandates and so forth would be helpful as well.
Rubens V. Amaral: Okay. Now basically, we have added 1 person to the team in terms of our syndications platform. But we have invested heavily in our sales effort by training our salespeople. So our salespeople are now very focused on this, as I said, medium-term transactions and within the medium-term transactions, calling for mandates. As Bladex is a bank that has balance sheet to offer to clients, we see ourselves in a strong reciprocity type of position, where we can have -- we have some arm-twisting power when we can get mandates. And with still a small team, we believe we can do much more.
Jeremy Hellman - Divine Capital Markets LLC, Research Division: Are they -- when you guys -- when you guys have won mandates, are those clients that are also within the core Commercial portfolio or are these new business wins that you previously were not working with at any capacity?
Rubens V. Amaral: No. These are primarily clients in our existing portfolio and clients that before were looking at Bladex just as a provider of trade finance. But now they see Bladex as a different bank that can provide financing for their expansion plans, mostly when they're looking at growing in Latin America. So we have seen, in these mandates, some acquisition financing by companies acquiring -- Latin American companies acquiring other companies. So it is targeted to existing portfolio, but also will be targeted to new clients as well. But the primary focus is to existing clients.
Jeremy Hellman - Divine Capital Markets LLC, Research Division: Great. So that -- is it fair to imply that you have some good ability to get ahead of anything, getting out to the street, so to speak, before it becomes really competitive in the marketplace?
Rubens V. Amaral: I think what Christopher said -- and that has been the case, there is for Bladex, a sweet spot for transaction that amounts from anywhere, $50 million to $200 million. These are transactions that are under the radar of the major institutions. And since Bladex has the knowledge and experience in the different countries in the region, we have there a competitive advantage. So what we're trying exactly to do with our existing clients and understanding exactly what their investment plans are and be presenting to them the offers and the solutions before they can just open up this to -- for market bidding and then by the relationship we have and by the loans that we have extended to these companies, we have been successful. That has been our strategy.
Jeremy Hellman - Divine Capital Markets LLC, Research Division: Okay, great. One last one for me and then I'll hop out. Just with that league [ph] table that you showed in the slide presentation, your Number 4, I think it was. For the top 3, were those all Latin banks or were they from outside the region?
Rubens V. Amaral: Outside the region.
Operator: Our next question comes from David Ross with Chevy Chase Trust.
David Ross - Chevy Chase Trust Company: I was wondering if you could give a little bit more color on what's going on in Mexico and with your operations there? And the kind of momentum that you might be seeing there over the course of the next few quarters?
Rubens V. Amaral: Okay. Thank you. Now Mexico, as you see in Mexico, it's a country that with the new government, has made important strides in improving important reforms that is attracting much more investments to the region. We have an office that's fully staffed and focused on generating this type of mandates. One of the mandates we won last year had to do with a Mexican company acquiring a Colombian company. And we are very focused on our team to increase our corporate client base and to expand as much as possible or increase our share of wallet in our existing clients. So in our view, Mexico although margins will be under pressure because of the liquidity in the markets and mainly in Mexico because of the access to the capital markets that the companies have in Mexico, we see an important opportunity to grow. It's our objective to make Mexico the second most important country in our portfolio exposure. So we are prepared to grow. We see that the conditions, the macroeconomic conditions are there and also, the natural expansion as the U.S. continues to do relatively well and we don't see any major problems on the horizon for the U.S. economy; Mexico will continue to grow and we are prepared to benefit from this growth.
David Ross - Chevy Chase Trust Company: Okay. And over the course of, how long do you think it will take to really make it that clear #2 market in your portfolio?
Christopher Schech: I think our estimation is that by the end of the year, we should have established Mexico as our second largest portfolio. We're -- Peru is -- currently in second place. We have no plans to reduce our growth in Peru either. But we do believe that as Rubens mentioned and that the growth dynamics -- and given the vast universe of corporations in that country, it's quite obvious to us that we have plenty of room to grow. And so we hope that by the end of the year, the pie chart that you see in the earnings release with our country exposures, you should expect to see Mexico in second place.
Operator: [Operator Instructions] Our next question comes from Tito Labarta with Deutsche Bank.
Tito Labarta - Deutsche Bank AG, Research Division: My question, in terms of margins, just let me get a little bit more color. You mentioned the funding cost can improve further, although, you saw a nice improvement in the quarter. I just want to see how much more do think your funding cost can improve? And then on the other side, in terms of the yield on earning assets, how much more -- how much can that improve for the year, I mean, to sort of get to the net income that you're kind of guiding towards, more or less? We would need to see some NIM expansion of probably, at least, 40 bps to 50 bps for the rest of the year. So you want to see, is that kind of what you were expecting? Or how do you see that evolving for the rest of the year?
Christopher Schech: If you don't mind, Tito, I'd like to take that question. We think NIM expansion is in the offing for us, yes. And we'd mentioned earlier in previous calls that we'd like to aim for the 2% hurdle in terms of overall NIM. We said that we felt it was achievable to be there, arrive at that level towards the end of the year. We don't think that we have to revise our expectations at this point in time. Even though we see margin pressure, whatever you think, but margin pressure is also helping on the funding side, and this is what we're trying, trying to take most advantage of it. So and of course, we haven't mentioned it in this call, but we have so in prior calls, there's some noise in the interest expense line that is going away with the amortization of these free-standing instruments that we started to amortize in the third quarter of last year. We're pretty much done with that. We have just a little bit more to go. But that's going to be history very soon in the next couple of quarters. And so the NIM that you will be seeing is pure NIM, not influenced by any other noise, and that should definitely point upwards. So again, we hope and expect to get to the 2% level by the end of the year. And so we think that we need to work hard at that for sure. There's no question about that. But we do believe that this is achievable.
Tito Labarta - Deutsche Bank AG, Research Division: Great. And then, you did say -- so some improvement on the funding, but do you think you can improve also the yield on assets or do you think kind of competitive pressures will keep that a bit under pressure, or do you see that going to expand as well?
Christopher Schech: Well, we've never anticipated that we were going to be able to get more price in any of our tenors. What we were working on is to move the portfolio mix towards the longer tenors and get the margins there. And that strategy is still in place and so we're not -- we don't believe that we have -- that the markets are aligned for price increases. And so we need to work ourselves to achieve this NIM expansion. And that is by moving that portfolio mix towards the longer tenors.
Tito Labarta - Deutsche Bank AG, Research Division: All right. So that can expand there just from changing the mix, then?
Christopher Schech: Yes, that's our expectation. If we get price, we'll take it of course.
Operator: [Operator Instructions] We have no further questions at this time. I would like to turn it back over for closing remarks.
Rubens V. Amaral: Okay, thank you very much. Thank you, all, for attending our call of the first quarter. I can guarantee to you that we are committed to continue to strengthening our core business. The region, it's poised to have another year of growth, and that will definitely benefit the business of Bladex. We remain very cautious about the quality of our portfolio and although we are changing the mix, we are changing the mix in a way that we've done not to deteriorate the credit quality of our portfolio. So overall, we expect the growth to continue. We expect the revenue streams to diversify by having more fee income and we'll continue to monitor carefully our dividend policy so our shareholders can be rewarded accordingly to the results of the Bank. Thank you very much, and I'm looking forward to talking to you for the second quarter. Have a good day.